Operator: Good morning, and welcome to the MGM Resorts International Third Quarter 2017 Earnings Conference Call. Joining the call from the company are Jim Murren, Chairman and Chief Executive Officer; Dan D'Arrigo, Executive Vice President and Chief Financial Officer; Bill Hornbuckle, President; Corey Sanders, Chief Operating Officer; and Grant Bowie, CEO and Executive Director of MGM China Holdings Limited. Participants are in a listen-only mode. After the company's remarks, there will be a question-and-answer session. In fairness to all participants, please limit yourself to one question and one follow-up. Please note this event is being recorded. Now, I'd now like to turn the call over to Mr. Dan D'Arrigo.
Daniel J. D'Arrigo - MGM Resorts International: Well, thank you, Steve. Good morning and welcome to the MGM Resorts third quarter 2017 earnings call. This call is being broadcast live on the Internet at www.mgmresorts.com, and we have furnished our press release on Form 8-K to the SEC this morning. On this call, we will make forward-looking statements under the Safe Harbor provisions of the federal securities laws. Actual results may differ materially for those contemplated in these statements. Additional information concerning factors that could cause actual results to materially differ from these forward-looking statements is contained in today's press release and in our periodic filings with the SEC. During the call, we will also discuss non-GAAP financial measures in talking about our performance. You can find the reconciliation to GAAP financial measures in our press release, which is also available on our website. Please note that our supplemental earnings deck is posted to our website as well. Finally, this presentation is being recorded. And with that, I'll turn it over to Jim.
James Joseph Murren - MGM Resorts International: Thank you, Dan, and good morning, everyone. Sorry, we're a couple of minutes late. I know it's been a busy day for all our investors today with many calls. Before I get into our very strong – obviously, very strong third quarter results, I want to take a moment to remember the 58 innocent people who lost their lives and the hundreds of more injured people because of evil individual that made a decision to carry out a devastating act of violence. Of course our thoughts and prayers remain with the victims and their families as they recover from the senseless tragedy, as well as the victims of the most recent attacks in Sutherland Springs, Texas and in of course New York City. I also again want to thank the first responders and the various law enforcement agencies who are working diligently to examine the events of October 1. We have always appreciated their support and during this trying time and we continue to work with them through this investigation. This heinous act of one person impacted our entire city and community, but in the days and weeks following the outpoint support we've received from fellow Las Vegans as well as our guests, partners and corporate leaders from across the U.S. has been heartening. We've also now learned of incredible acts of bravery by many of our own. Security officers and employees that help alert police to the shooter's location, employees that drove victims to hospitals, while under fire, delivered potentially life-saving first aid, worked with first responders to assist the wounded and led those in harm's way to safety. The morning after, 500 MGM Resorts employees from all across our properties arrived at Mandalay Bay. They immediately assisted staff in the front desk, service in guest rooms, answering phones and ultimately ensuring the needs of our guests and our colleagues. We've worked very hard especially over the last few years to foster a one company culture. This was not easy. Our operating companies have spent a great deal of time and effort to implement best practices across every aspect of our business including guest service standards, systems training, marketing, communications and this support system was put to test last month. And I've never been more proud of the strength of our employees who showed selfless dedication and spirited teamwork in the face of such unspeakable evil. Our strong culture and operating model that we've built over the many years allowed us to take rapid and coordinated action and I'm gratified to have witnessed this genuine embodiment of our one company one culture easels. Despite the tragedy, Las Vegas continues to move forward. While we anticipate near-term impact, which we'll of course talk about in detail, we're confident in the resilience of this community and its ability to remain the leading entertainment and business destination for the roughly 43 million people a year that visit us. Now, let's talk about the third quarter results. We continue to demonstrate the strength of our business model and, obviously, we exceeded our guidance in the quarter. We produced consolidated net income attributable to MGM Resorts of $149 million. Our domestic resorts on a same-store basis produced the best EBITDA quarter in over 10 years. Our margins and profitability exhibited strong growth as a result of the execution of the strategies that we've talked about many times on these calls and the strategies we put to place over the last several years. Las Vegas did particularly well in the third quarter in spite of the fact that the city itself faced over 140,000 fewer large-scale convention attendees year-over-year. And obviously you see that we more than delivered. And the reason why is we brought some of the best experiences to town including two of the highest grossing boxing events at T-Mobile. We had a great group calendar. We drove spend across the board with all our business segments. And the end result was 4% growth in the third quarter net revenues to $1.5 billion on the Strip. We generated $514 million of Strip EBITDA, that's up 14% from the year ago quarter. And RevPAR growth of 4.2%, significantly above our guidance. Our margins grew more than 270 basis points year-over-year to just over 33.5%. And we achieved several records in the quarter at many of our properties. I guess start would be Bellagio, where its margins were almost 42%. First time ever it reached 40% margin, and obviously the best quarter it's ever had in its history. We had higher table games hold of 26.8%, but, more importantly, we had 12% increase in volume. Even on a normalized basis, our Strip cash flow would have been almost $490 million and the margins would have been over 32%. CityCenter had another great quarter campus wide. Revenues and EBITDA were up 4.5% and 17%, respectively. And it produced margins of 33.6%, up 360 basis points year-over-year. Aria had a record-breaking quarter in revenues, EBITDA and margins. In Macau, where Bill and I were last week for most of the week, the market clearly has recovered quickly from Typhoon Hato, which hit Macau on August 23. Our teams have worked very hard there to volunteer to help recovery, both in terms of MGM China, MGM Resorts and our great partner, Pansy Ho, committed significant amount of money to assist and support the Macau community and its future. And that community is healing. We're extremely confident about Macau's long-term prospects and its evolution into Asia's tourist and leisure capital. We're opening, as you know, our second property in Macau. It's a stunner. And it will open on January 29 of next year. We've spent a long time developing, designing, creating, programming a property that would be unique to Macau and certainly unique to the hospitality market. We've worked hard to deliver on a promise that we've made to the government to create an entertainment destination that's unparalleled. And I think when you see what Bill and I saw last week, you'll feel that we delivered on that promise of entertainment, of food and beverage, of retail, that's uniquely Chinese, uniquely Macanese, and embodies the idea of MGM as an entertainment company. We're also excited to deliver The Mansion, which, of course, has been so successful to us here in Las Vegas. That Mansion product will be delivered to Macau also next year, which we believe will have a significant competitive advantage in the VIP business. And in the meantime, Grant, who is on the phone, and his team continue to do what they do best – best operators in Macau, most transparent, most accessible, best leaders of people. And that is going to be very evident as we move forward into the balance of this year and into a really important opening in 2018. Looking ahead, obviously the event of October 1 has had an impact on the fourth quarter. The entire town did the right thing. We all took a pause in marketing out of respect for those affected initially. At that time, we saw a spike in non-group cancellations, actually a little more than double than what we normally see. Of course, our bookings declined immediately after October 1 because we were suspending our outbound marketing programs and focusing on what mattered – taking care of victims, their families, first responders, our employees and all the guests that are here. I'm happy to say that these cancellations progressively subsided by mid-October and our booking pace remarkably returned to normalized levels almost immediately thereafter, as soon as we turned on our marketing efforts. Mandalay Bay was the lone exception because we felt it was appropriate to start their marketing later, at a slower pace. So, to give you some color around the fourth quarter. About half of our cancellations were isolated literally to the month of October. And as I said earlier, we've seen bookings improve, our business improve, here in November. On the group side, the support has been remarkable. All of us in this room literally were here in Las Vegas meeting with heads of large groups that were actually in-house at Mandalay Bay, Aria, Bellagio, MGM. And they all concluded the same thing, that they would not let evil win. They're going to host their convention, they're going to honor the employees of our community and they're going to do their work. And they did. And some of the largest groups we've ever had, including at Mandalay, said that we're going to, not only stay, but we're going to book again and again and honor the destination. And so, our booking pace going into next year is extremely strong. We also have to acknowledge the fact that October, as you know, typically is the strongest month of our fourth quarter and actually usually one of the strongest months of the year. And so that is going to impact the fourth quarter revenues and profitability. And I think we're pretty clear on that in our earnings call that it has an impact in the fourth quarter. But, again, in terms of the cadence of the quarter, it's very clear that our revenues and profitability are improving since October. And we're going to talk about that just a little bit more in a moment. It needs to be reinforced because we've talked about this before about why we invest the money we invest in Las Vegas to broaden out our destination, to increase our non-gaming activity and business, because it continues to yield extraordinarily high returns on investment. The returns in our events, our arenas, our conference facilities are justified and enhanced and validated by the trends we're seeing in McCarran Airport, driving business and in overall visitation. And we see that in our forward bookings as well, as we speak. The analytics team, our revenue management team is the best in the industry and better than we've ever been before. And so, we have high confidence in saying the following that we've already achieved 80% of our convention room nights that we've wanted to achieve for 2018 going into next year. This is an extremely high level for us in any time in our careers. We – actually we're going to be a bit better than that. But for the fact as you know, CON/AGG, which is a very large citywide convention is not here in the first quarter next year and so that will impact the city in the first quarter. And also to a lesser extent, there's been a movement in CES by a few days which will have a slight negative impact on the citywide RevPAR. However, our ambient business, our strong business is improving and we expect to see RevPAR growth in 2018. We are the leader in sports world. We've had kind of rough road trip for the Golden Knights but they're off to a great start and clearly been very popular here in Las Vegas, driving almost sold out crowds every single home game. We have brought in and they'll play next year a WNBA team. We've been very active with the NCAA in general, with the NBA, with soccer, rugby, NASCAR, bull riders, rodeo. Of course, we're bringing Dan's favorite, Oakland Raiders team to Las Vegas. All these individual activities collectively make a difference in terms of increasing visitation and more importantly for those who live here create a community event. We're spending a lot of money as a company, improving our properties. Monte Carlo is rapidly transforming itself to Park MGM and NoMad. Many of the venues have already opened under great duress. It's been difficult from a construction standpoint, which obviously had an impact on its cash flows, but toward the end of next year you will fully see what we envisioned for that property. And as I mentioned. COTAI is on the horizon, opens in January, and Springfield Massachusetts will be the home of our newest property, and our last major development project here in the United States when it opens in September. And that really winds down our development cycle, which accelerates our free cash flow profile, which we have articulated on many calls before but want to re-emphasize today. Our goal has been and remains to maximize our revenues, improve our margins, which are industry-leading, thereby improving our cash flow, being very clearly disciplined on our capital expenditures and through our free cash, which we have and we'll return to our shareholders. We feel confident in our future for basically four points. One, we have a dominant position in all of our domestic markets and we alike (20:30) strength-on-strength, remodeling rooms, refreshing restaurants, finding new entertainment offerings, expanding our convention facilities. These are high ROI projects that yield great returns not only in the near term, but provide enduring value to our owners. We have and will remain a fortified balance sheet, remain a strong credit profile, and that means that our leverage continues to decline, even though we are investing in our future and returning capital to our shareholders. And we have set a target internally and set it before to you, but our target leverage is in the 3 times to 4 times range. And we think we're going to get there by the end of next year. We're well on our way just to touch over 4 times right now. Last quarter, we again took out higher coupon debt and it seems like every quarter, but again last quarter rating agency improved our ratings. Thirdly, we are very prudent and disciplined in our growth opportunities, there are not many that we find attractive. We like what we own and operate. We like investing in those tempo properties, but we are not looking for growth for growth sake. And in fact, if there's any project or any opportunity in the world that the team here in Las Vegas are focused on, that would be here and in Japan. For growth, look to MGM Growth Properties with James and Andy at the helm. They are not only growing rapidly through their relationship with MGM Resorts, but are hot on the trail to expand their portfolio of owned assets with multiple tenants. And finally, and importantly, we intend to continue to return excess capital to our shareholders. We've already done so this year. We've returned over $500 million of cash to you in the form of dividends and share repurchases so far. We announced a $1 billion share repurchase program, only a few months ago. We are committed to our dividend, not only its current, but to increase it over time, and we feel that that is the right path to reward the people that have been with us on the journey that we've been on over the last four or five years. So I know we have a lot of questions, we've got a plenty of time to handle them, but I just like to emphasize that I'm incredibly proud of the men and women of our company. How we have navigated this company over many years to this strong foundation of growth and financial success and I'm also more recently immensely proud of the men and women and the community at large that have handled these horrific times that we have experienced over the last month-and-a-half. We will focus on what is important to our business and to our customers and to our employees and we're confident based on our analytics that we are on the way to recovery already. So with that, I'd like to turn it over to the operator.
Operator: Thank you. We will now begin the question-and-answer session And the first question comes from Harry Curtis with Nomura.
Harry C. Curtis - Nomura Instinet: Hey. Good morning, everyone, and thanks, Jim, for your comments. I had one question in Vegas and one for Grant in Macau. In Vegas, I wonder if you could give us a little bit more of your strategy with respect to reintroducing Monte Carlo and what disruption has it caused, but what kind of returns on investment are you likely to enjoy there? And then secondly in Macau. Grant, it seems to me that some of your competitors who aren't necessarily VIP-oriented have recently kind of dialed up their marketing efforts and I'm wondering if the competitive environment just for VIP has shifted at all in the last quarter or two. Thanks.
James Joseph Murren - MGM Resorts International: Thank you, Harry. I'll start and I'll maybe turn over to Corey, who's got a cold, he's soldiering through. And then we'll turn over to Grant. We – I underestimated the impact of the disruption at Monte Carlo. It has been incredibly disruptive to the employees, to the guests, the building has been under the most comprehensive renovation of any property that we've ever undergone. And it has had a meaningful impact on its cash flows for the last couple of quarters, and that will continue into this quarter and probably into the first quarter and start rapidly improving in the second quarter. When we have open venues and we've only opened a few new ones, they've been profoundly successful. A couple new restaurants, the room product as it's being unveiled to the customers has been extraordinarily highly received. The returns on capital on Monte Carlo, I would say, would be some of the highest we've ever committed over the last five years, well in excess of any new build. Just imagine the fact that it's a 3,000-room hotel that we've added a $90 million theater to and now $550 million underway, taking a property that is well-positioned geographically, but poorly positioned in the market to a property that is right at the center of the Strip and with extremely high brand recognition and that's driving a lot of revenue. So, I would expect very high returns and I would think that Monte Carlo's cash flows, once they become fully integrated as Park MGM, will double. So that's the kind of project that I think you should look toward the future for us. It is straddled over three years, so it fits within our capital expenditure guidelines that we've set for ourselves and articulated. But it is a very attractive way to deploy capital and that's where we're focusing our capital is where we dominate, which is here and obviously in Las Vegas. And if we are right on our expectations of Monte Carlo and its returns to Park MGM, that bodes well for our other existing properties in Las Vegas. So, I'll stop there. Do you want to add anything else?
Corey I. Sanders - MGM Resorts International: Sure. Harry, from a pricing perspective, our goal is probably within a few years to ramp up to our total strategy because there will be a transition period as Park MGM is introduced and NoMad is getting completed. But the goal on this project is we believe there's an opportunity to price this product right around or above a Mirage-ish or MGM-type property. There's not a lot of product in the town with that. We think there's an opportunity from the Park MGM perspective to hit that sweet spot. The NoMad will be more on the higher end, and should be priced with some of the luxury properties. But, overall, that's the overall strategy with the property.
James Joseph Murren - MGM Resorts International: Thank you, Corey. Grant?
Operator: Thank you. And the next question comes from Joseph Greff with JPMorgan.
Grant R. Bowie - MGM China Holdings Limited: Sorry. Harry, do you want me to finish that?
James Joseph Murren - MGM Resorts International: Yeah. We lost you there, Grant. Go ahead.
Grant R. Bowie - MGM China Holdings Limited: Sorry, Harry, I think we're seeing as you've noticed the strengthening in the VIP market across the board. And I think what everybody is doing pragmatically is taking that opportunity as it seems to be settled. And we're the same; we're obviously positioning ourselves for COTAI and building out VIP for COTAI. But even in the Macau property, we will be opening a new VIP Room, bringing in a new operator in December. So I think to your point, yes, there is a focus on VIP, but I think it's probably because after a very quiet few quarters and almost over two years, we're now seeing some growth. And I think everybody is just repositioning and rebalancing their portfolio in that sector. Thank you.
Corey I. Sanders - MGM Resorts International: Thank you.
James Joseph Murren - MGM Resorts International: Thanks, Grant.
Operator: Hello?
James Joseph Murren - MGM Resorts International: Operator, I think we had a question from Joe?
Operator: Yes, Joseph Greff from JPMorgan, please.
Joseph R. Greff - JPMorgan Securities LLC: Good morning, everybody. And, Jim, thank you for the earlier comments. A couple of questions here. Looking out to 2018 in Las Vegas, can group room nights exceed 2017 levels or is the CON/AGG rotating out in the 1Q just too much to overcome?
James Joseph Murren - MGM Resorts International: CON/AGG is I think too much to overcome.
Corey I. Sanders - MGM Resorts International: Yeah, look, our goal is always to maximize that base around the 19%, 20%. CON/AGG will be a little bit of a challenge. There is a chance we can get there, but it's going to be a tough challenge.
Joseph R. Greff - JPMorgan Securities LLC: Said another way, would you expect 2Q through 4Q group to be up in 2018 versus Q3 through 4Q 2017?
James Joseph Murren - MGM Resorts International: Yes. After we get through the first quarter and obviously the city-wide rotation, we expect group business and overall RevPAR to be up in the balance of the year.
Joseph R. Greff - JPMorgan Securities LLC: Great. And, Grant, hopefully you're still there. But how much VIP product will be open on day one of the COTAI opening? And when does The Mansion product open?
Grant R. Bowie - MGM China Holdings Limited: So, at the opening we'll have our own in-house VIP. And I think as we've indicated earlier, we wouldn't have junket initially, but we do have a program to bring that online as quickly as we can. So that is a focus for us. At the moment, based on the construction program, we're looking to get The Mansion, again, online before the middle of the year. And we're just going to work as quickly as we can. Clearly, bringing the junket and The Mansion and ramping up the VIP all needs to come together because we've got to be up to service that customer at the level we know we want to and make the impression that Jim indicated we're going to create with The Mansion.
Joseph R. Greff - JPMorgan Securities LLC: Great. And then one final one back to Corey in Las Vegas. Monte Carlo disruption in the 3Q and what you've disclosed to expect into 4Q is a little bit under $20 million. When does that disruption piece – is it really middle of 2018 before we see no disruption impact?
Corey I. Sanders - MGM Resorts International: I think, yeah, at the end of the first quarter, we'll have the property rebranded. But we'll also be doing about 600 rooms in NoMad. So, there'll be a little bit of an offset there. But in general, most of the disruption, or at least EBITDA decrease, should end by the first quarter.
Joseph R. Greff - JPMorgan Securities LLC: Thank you very much.
James Joseph Murren - MGM Resorts International: I don't know if you've been out lately, but, literally, the exterior of the building the signs are down. It's being refaced from the exterior. It's incredibly challenging to navigate in the interior. And there are pockets of really brilliance in terms of Primrose and the Steakhouse and the lobby area – but it is literally a full-on construction project right now and it really won't feel like an integrated resort until the second half of the year.
Joseph R. Greff - JPMorgan Securities LLC: Great. Thank you.
Operator: Thank you. And the next question comes from Shaun Kelley with Bank of America.
Shaun C. Kelley - Bank of America Merrill Lynch: Hey, good morning, everyone. And, Jim, thanks for all the heartfelt comments around the tragedy. So, I just wanted to follow up on Vegas and maybe we could drill down a little bit more on specifically 1Q 2018. As we think about the different things you are lapping, CES and – or the CES shift and then also the lack of CON/AGG. Can use just help us drill down a little bit more in terms of magnitude on how much you think that could impact the year? And specifically, if you'd be willing to give us a range on what you think RevPAR will be down in the first quarter.
James Joseph Murren - MGM Resorts International: Yeah. I'll start and then Dan or Corey or anyone can jump in. We – when we went into strategic planning back in July, we expected the first quarter to be flat to down anyway. But we expected the first quarter to accelerate after we got through that and we'd expect it to be up for the balance of the year. So, before October 1, we had expected that to be the challenge, we knew that would be the challenge. But we thought and we still believe today based on our really – almost non-existing cancellations and actually new bookings for 2018 that will be up every other quarter in 2018. But I think we want to quantify the magnitude maybe, Dan, or...
Daniel J. D'Arrigo - MGM Resorts International: Yeah. I think Shaun, it's probably a little bit too early for us to kind of get into what that magnitude will be, but in the next quarter we'll definitely – quarterly call we'll definitely give you kind of how we're thinking about the full year. But as Jim said, RevPAR will be up in 2018, challenging first quarter and then strength thereafter.
James Joseph Murren - MGM Resorts International: And we just gave guidance I think in the fourth quarter, didn't we, Cathy?
Daniel J. D'Arrigo - MGM Resorts International: Yes.
James Joseph Murren - MGM Resorts International: All right, which was...
Shaun C. Kelley - Bank of America Merrill Lynch: Right.
Daniel J. D'Arrigo - MGM Resorts International: 5% to 7% down.
James Joseph Murren - MGM Resorts International: Down 5% to 7%. So, we don't expect the first quarter to be down as much as the fourth quarter if that helps you.
Shaun C. Kelley - Bank of America Merrill Lynch: Yeah. That's helpful. So, negative but maybe not quite as negative is what we saw in the fourth quarter is probably at least an assumption.
Corey I. Sanders - MGM Resorts International: And what I would expect is what was down in the first quarter is probably the result of CON/AGG and the shift at CES.
James Joseph Murren - MGM Resorts International: Right. So, if there is a decline it'll be for those city-wide reasons and it will not be as much as the fourth quarter.
Shaun C. Kelley - Bank of America Merrill Lynch: Thank you very much. And then maybe just as a follow-up. Can you just talk about sort of what you're able to do on the operating expense base, I mean, clearly, between the comp that you faced in Q1 and then just the overall business environment, which at times has been robust as it was in 3Q and other times, it's not quite as robust. I mean, what's the natural rate of expense growth and is there any incremental expense growth that might occur a little bit?
Corey I. Sanders - MGM Resorts International: So, this is Corey. I'll answer it. Even in the fourth quarter, we were down 3% in FTEs, and I think we have our engine pretty well dialed in to match our labor with our forecast. And in particular, in Q4, even before the incident, we usually go into slow period plans, which we accelerated. So, we will hopefully be able to offset any cost increase there. As we operate in the future and a lot of PGP initiatives, they're all driven to constantly increase our margins over time. And so we believe, based on what we have in place that we'll be constantly be able to do that and therefore manage the labor, in particular our biggest cost through our new technology that we're using.
James Joseph Murren - MGM Resorts International: And as we've said before, but it bears repeating, our goal is to increase our EBITDA margins 50 basis points to 100 basis points a year, and that remains the target that we feel is achievable. We've obviously come off a tremendously strong third quarter. And therefore we'll have a good year with our nine-month results already booked overall, but we expect to continue to not only drive revenue growth in 2018 but margin growth as well.
Shaun C. Kelley - Bank of America Merrill Lynch: Thanks very much.
Operator: Thank you. And the next question comes from Carlo Santarelli with Deutsche Bank.
Carlo Santarelli - Deutsche Bank Securities, Inc.: Hey, everyone. Good morning and condolences. Corey, Jim, Dan, whoever kind of wants to take a stab at it, but the large-scale conventions relative to smaller groups which you guys have done a great job this year backfilling, especially in the third quarter versus kind of events, could you talk about the dynamics of maybe not down to profitability, but the dynamics of how those events are different for you guys from an earnings perspective as we look at next year. And maybe you have some holes to fill in the first quarter with CON/AGG moving out and some of the other puts and takes throughout the back half of the year.
James Joseph Murren - MGM Resorts International: Well, I'll start and then I'll move it to either my left or right. We have – and I'm sure Mike Dominguez and his team are on the call listening in as many of our thousands of employees are listening and many of them are shareholders of MGM. We have the best convention sales team in the world, not just in the gaming industry or in the United States. And what we have been able to accomplish in terms of booking conventions, moving conventions from other cities, improving the portfolio of product, standardizing our delivery of product, filling in calendars where we no longer have any real slow periods in our calendar for conventions has been remarkable. We had pre-booked the expansion to the Mandalay Bay Convention Center before we even started construction, and it's been remarkably successful. And we're expanding the MGM Grand Conference Center as we speak and already pre-booking into that expansion. And we're looking for other growth opportunities as well including in the building we are right now at Bellagio. But the large group business of which there are still significant groups we do not get in Las Vegas or we don't have at MGM Resorts is significantly more profitable. So you want to share anything on that?
Corey I. Sanders - MGM Resorts International: Yeah. What I would add, Carlo, is actually when you look at our business and in particular the large groups and especially if you saw it in October right after the event them being here sure helped quite a bit without having a major impact on our results. But in general, 60% of our business, or close to that, is corporate. And of that, the large groups are a small percent of it. And actually, a majority of our room nights come from the smaller groups, the large groups what allows us to do is yield our rooms a lot higher at those properties when that core business is in there. It looks strong. It continues to look strong. Many of those groups book multi-years. And so, we have a lot of that tied up. We constantly are looking for actually larger groups to actually help us on our shoulder periods also. But in general, when we look at our Strip revenue and what those large groups have done, they've actually helped us grow the total convention contribution probably about 5% to 10% a year over the last few years and we expect that to continue.
Carlo Santarelli - Deutsche Bank Securities, Inc.: Great. That's very helpful. And then if I could just ask a follow-up. Obviously, it's always volatile as experienced in the 2Q relative to the 3Q with hold swinging almost 600 basis points, but it does feel like the natural kind of bias relative to your normal hold, if you look back over the last, call it, seven quarters has been higher. As you think about your theoretical range and maybe some of the tweaks that have been made around some of the games, does that range maybe feel a little bit like it's conservative and your experience of late is going to be more indicative of maybe the natural table game hold on the Strip going forward?
Daniel J. D'Arrigo - MGM Resorts International: Carlo, this is Dan. I don't think the range is conservative. I think the approach we're taking with respect to our casino business over the last few years has really evolved into more focused on profitability overall as well as the customers. So, as we've talked about before, certain steps that we've taken with respect to our customers are much different today than historically, and some of which we don't deal to any longer. So, we've taken a different approach. I think that's probably helped our ability to skew more towards a higher end of that range, and how we look at customers today, how we market, how we promote those customers and the deals that are cut with the customers I think has helped our theoretical and ultimately our actual hold percentages.
James Joseph Murren - MGM Resorts International: Yeah, I agree with Dan. I think we're still happy with the range because we dominate in the high end. We're bigger than our next two competitors combined. Note how much money Bellagio made again, if you can but compare that to our Strip competitors. So, there is volatility in the high end and that's why I think at this point, we should keep the range where it is, but there's no doubt that the analytics around our whole table games department and the men and women that are working there has improved the profitability and also the hold percentages if you look back over the last several quarters.
Carlo Santarelli - Deutsche Bank Securities, Inc.: Great. Thank you, guys, very much for the color.
Operator: Thank you. And the next question comes from Felicia Hendrix with Barclays.
Felicia Hendrix - Barclays Capital, Inc.: Hi. Good morning. Thank you. So, Jim, in your prepared remarks you mentioned that the company returned to marketing at Mandalay Bay later than the other properties, for obvious reasons. So, just wondering if you could give us some more details regarding that property, perhaps maybe when did marketing start, what kind of demand are you seeing there once you did start that? And is there a percentage of the room base that's out of service?
James Joseph Murren - MGM Resorts International: Yeah, I'll start then because Corey has been probably the most focused of all of us. So literally on October 1, we shut down all our marketing channels. All external, internal channels Strip-wide. And if there's any affirmation that the people we have in direct marketing are worth the money that we pay them, it's certainly true that it has an immediate, instantaneous impact on bookings. We felt that when we did start slowly bringing back marketing, started pivoting our external, our websites, our digital plans, we didn't start doing that until in the middle of October. I think it was late in the second week, wasn't it Corey?
Corey I. Sanders - MGM Resorts International: It was around the 10, 11.
James Joseph Murren - MGM Resorts International: Around the 10, 11. But not at Mandalay. Mandalay we took another week or two, didn't we?
Corey I. Sanders - MGM Resorts International: Yeah, what we ended up doing in Mandalay is we probably took another week and then we started drizzling it out just to make sure that the reaction was not adversarial. And so, over time, it's at full force now. I would say that Mandalay compared to the rest of our properties probably has the most impact. We know that 20% of the cancellations came from there. But they're really close to where their booking pace was prior to the incident.
James Joseph Murren - MGM Resorts International: And as you know, we're so proud of our national ad campaign. We took that off air immediately. And that has not gone back up on air and probably won't go – I know it won't go back up on air until sometime next year. So, we're not fully back from a marketing perspective. We don't think it's appropriate to do so at this point in time. But in our direct marketing, here in November, all the channels are back fully functioning.
Daniel J. D'Arrigo - MGM Resorts International: And, Felicia, I'd like to make another point, too, just to add on. It wasn't just MGM Resorts. This was the entire community for about 10 days that stopped marketing the destination. So, LVCVA, ourselves, our colleagues up and down The Strip, as well as our partners on online channels, et cetera, really shut down any outward and forward-facing marketing efforts for that 10-day period. So, it wasn't just us.
James Joseph Murren - MGM Resorts International: That's a good point, Dan. I mean, you'd have to be here to experience it. But this is a good point to say how appreciative we are at MGM of our competitors. We had pastries delivered from the Venetian. We had folks coming over from Tropicana. We had Cosmopolitan chipping in. We had folks at Wynn, Caesar's Properties. We all rallied around the same tragedy. And the city collectively and universally shut down its outward-facing marketing for the better part of a week and a half. People had their own views on how to restart their programs independent to themselves. But it was certainly a collective decision by the community to pause, focus on the victims and the families and the employees and the community. And we're all turning on those channels now.
Felicia Hendrix - Barclays Capital, Inc.: And can you say what percentage of the room base is back in service at Mandalay?
James Joseph Murren - MGM Resorts International: All the rooms except for one wing of one floor.
Felicia Hendrix - Barclays Capital, Inc.: Okay. Thank you for all that color. And, Corey, just when you think through the RevPAR stats that you reported this quarter, the strategy to focus on more profitable customers is really apparent when you look at the occupancy rates across the board. But what also stands out is the ADR increases that you generate at most of the properties, especially at the segment that you call the retail properties. So I was just wondering is that pure room rate lift, or is there anything else driving that? And then I was just also wondering how much runway there was left to raise ADRs at those properties. I would think given the segment that it's in, it might be hard after a point to keep pushing prices.
Corey I. Sanders - MGM Resorts International: So, keep in mind, we thought it was going to be even a more challenging quarter going in because of the 140,000 less citywide room nights. So, we were able to achieve that even without that. And I think what drove a lot of the retail, especially in those properties, the two major events definitely helped quite a bit. But if we could layer on the events with the convention base, there are always opportunities to raise rates there. And the rates there are still below peak at some of those properties.
James Joseph Murren - MGM Resorts International: Yeah, that's actually a good point, Corey. I don't think we've talked about on the quarters. We have talked about a strong convention calendar for 2018, but we have an equally strong entertainment calendar at all of our arenas as well. And those big arena events drive ADR increases and it's not as episodic as it used to be. We literally have every weekend now, it seems, a major event at either Mandalay Event Center, MGM Grand Garden or T-Mobile Park Theatre and our other venues and that has an instantaneous uptick in ADR when we have them.
Corey I. Sanders - MGM Resorts International: Even when we look at the hockey games and many of us are seasoned ticket holders there. Half the arena is the other team. And there's probably a good portion of the other team that is coming in from out of town staying New York-New York, Monte Carlo, Aria, Bellagio, Excalibur even because it's close to the arena.
James Joseph Murren - MGM Resorts International: Yeah, they're not staying at Monte Carlo too much right now, it's under construction but they're staying at New York-New York and Excalibur, Luxor, Aria, MGM.
Felicia Hendrix - Barclays Capital, Inc.: Okay. Thank you.
James Joseph Murren - MGM Resorts International: Thanks, Felicia.
Operator: Thank you. And the next comes question comes from Thomas Allen with Morgan Stanley.
Thomas G. Allen - Morgan Stanley & Co. LLC: Hi, a question for Grant, if Grant you're still awake. Can you talk about – how do you feel Typhoon Hato impacted your property if you can quantify? And do you feel like it had outsized impact given your location on the Peninsula? Thanks.
Grant R. Bowie - MGM China Holdings Limited: I think it's true that the Peninsula properties had more dislocation, but frankly I don't think it had any eminent effect. If anything, I think it was just a timing issue. When you look at the GGR going into October, we've seen some good growth. So, it's one of those events, it's a tragic event that – it had a lot of damage caused and obviously a lot of dislocation in the community. But in terms of business, I think we are becoming really pretty robust and pretty resilient. And so, I don't see it having any permanent impact at all.
Thomas G. Allen - Morgan Stanley & Co. LLC: Okay. That's it. Thank you very much.
James Joseph Murren - MGM Resorts International: Thank you.
Catherine Park - MGM Resorts International: And maybe one last question please?
Operator: Okay. Thank you and that comes from John Decree with Union Gaming.
John DeCree - Union Gaming Research LLC: Hey, everyone. I just snuck in under the wire. Thanks for taking my question. Wanted to kind of get a little bit more forward looking and when I think about convention mix, Corey, you kind of talked about 19% to 20% range and you've got two new items coming online early next year, the Aria convention space and then the year after at MGM Grand. Does that give you the tools that you need to kind of get back convention mix up a little bit more or is the strategy just to kind of target perhaps higher-priced groups in that space?
Corey I. Sanders - MGM Resorts International: So, keep in mind Aria is not included in our mix, but the goal of the additional space is, one, to look at getting better groups in there at higher rates. Two, to the extent it makes sense to place more convention business into a facility compared to the other business we could place into it, we will. And I think there's opportunities to improve that mix, but it's not the ultimate goal of purely sitting there and saying we want to be at a certain percent. We're going to maximize our profitability by using all the spaces we have and making sure we have the right groups in our rooms.
Catherine Park - MGM Resorts International: And to remind you, part of the impetus for us making the decision to expand our convention space was the existing groups that we have today were growing in size and we wanted to make sure that we grew with them.
Corey I. Sanders - MGM Resorts International: Right.
John DeCree - Union Gaming Research LLC: Great. That's it for me. Thanks so much.
James Joseph Murren - MGM Resorts International: Well, I want to thank everyone for joining us today. We are working hard for you, our investors, our owners. I'm proud of our company. We are enthused about the future of MGM Resorts not only here in the United States with COTAI opening around the corner and we're very active in the pursuit of what I believe to be a tremendous opportunity in Japan and we aim to be a winner in that market as it unfolds. And we'll be in touch with you. Please call us at any point in time and thank you for the time today.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.